Operator: Good morning and thank you for joining the Tetra Tech Earnings Call. As a reminder, Tetra Tech is also simulcasting this presentation with slides in the Investors section of its website at tetratech.com. This call is being recorded at the request of Tetra Tech, and this broadcast is the copyrighted property of Tetra Tech. Any rebroadcast of this information, in whole or part, without the prior written permission of Tetra Tech is prohibited. With us today from management are Dan Batrack, Chairman and Chief Executive Officer; Steve Burdick, Chief Financial Officer; Jill Hudkins, President; and Leslie Shoemaker, Chief Sustainability Officer. They will provide a brief overview of the results, and we'll then open up the call for your questions. I would like to direct your attention to the Safe Harbor statement in today's presentation. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in Tetra Tech's periodic reports filed with the SEC. Except as required by law, Tetra Tech undertakes no obligation to update its forward-looking statements. In addition, since management will be presenting some non-GAAP financial measures as references, the appropriate GAAP financial reconciliations are posted in the Investors section of Tetra Tech's website. At this time, I would like to inform you that all participants are in a listen-only mode. At the request of the company, we will open up the conference for questions and answers after the presentation. With that, I would now like to turn the call over to Dan Batrack. Please go ahead, Mr. Batrack.
Dan Batrack: Great. Thank you very much, Camila, and good morning and welcome to our Fiscal Year 2023 Second Quarter Earnings Conference Call. We had an excellent second quarter. Our revenue for the quarter exceeded $1 billion for the first time, as a result of our exceptional performance across Tetra Tech's operations augmented by the addition of the RPS Group that joined us at the end of January of this year. Tetra Tech Leading with Science services are at the center of our client's priorities to address climate change, resiliency, and adaptation worldwide. Given the strength of our performance and outlook, we're increasing our guidance for both net revenue and earnings per share for fiscal year 2023, which I'll give you more details on this later in the conference call. I'll begin with an overview of our performance and our customers followed by Steve Burdick, our Chief Financial Officer, who'll provide more detail review of our financials and our capital allocation program. Dr. Leslie Shoemaker who's joined us today, who's our Chief Sustainability Officer, who'll provide an update on our recently published annual ESG report, and Jill Hudkins, our President, will provide further insight into our growth markets. I'll then address our earnings guidance for the third quarter and our increased guidance for all of fiscal year 2023. In the quarter, our net revenue increased 39% year-over-year from $700 million a year ago to $970 million this year, which is the highest net revenue for any quarter in the company's history. Our EBITDA income increased 30% from last year, reaching a second quarter record of $105 million. And finally, we delivered a $1.17 in earnings per share, which is up 19% from last year. I'd now like to show you what the underlying performance of Tetra Tech was without the contribution of RPS in the second quarter really to give you some good insight into how the legacy business is actually operating at this time. Tetra Tech hit new all-time second quarter highs and double-digit growth rates across the Board for revenue, net revenue, operating income, EBITDA, and earnings per share. Revenue without the contribution of RPS was $989 million, almost $1 billion up 16% year-over-year, a record revenue for any quarter in the company's history without the contributions of RPS. Our net revenue increased by 18% year-over-year. Our operating income and EBITDA were both up 19%, and we generated an earnings per share of Tetra Tech without RPS of $1.20 per share or up 22% from last year. I would now like to provide an overview of our performance by our end customer. Work for our U.S. federal clients was up 59% from last year driven by broad-based growth in water and environmental programs, and during the quarter, the rapid initiation of support for Ukraine under our U.S. State Department and USA contracts. Excluding contributions from our extraordinary disaster response-related programs, our state and local revenues were up 12% from last year, driven by our digital water and our municipal infrastructure work. International work or international revenues were a majority of the RPS operations are included increased by 55% year-on-year. Excluding RPS, our international revenues grew on their own though, they were up 11% from their prior year, driven by strong performance in our global high performance buildings work in Canada, Australia, and the United Kingdom. Our United States commercial net revenues were up 25% from last year. Excluding the RPS acquisition, our underlying commercial revenues were up 13% year-on-year driven by our services in sustainability, including work specifically in environmental permitting, also high performance buildings and clean energy and renewable energy programs. I'd like to provide and present a detail of our performance by our two segments that we report on. The first segment, the Government Services Group or the GSG segment grew by 29% from last year with a significant increase in our international development work, especially for Ukraine energy programs. The extraordinary contribution for Ukraine just in the quarter provided $70 million in revenue. Disaster response was down relative to the second quarter last year. For comparison purposes, excluding the unusual impacts of Ukraine and disaster response in the quarter, our Government Services Group had a strong double-digit growth rate of 16% year-on-year. Our Commercial/International Group or CIG segment grew by 47% year-on-year, even excluding RPS, which was a material contribution to the segment. The CIG segment was up 13% driven by growth and renewable energy programs, environmental work all across the United States and high performance buildings work worldwide. One of the highlights for the quarter, in addition to the actual performance of revenue and profit and extraordinary work was our backlog. Our backlog was up 18% year-on-year on strong broad-based orders resulting in an all-time high backlog of $4.275 billion of contracted, funded, and authorized work. In the second quarter, we won new programs and task orders for commercial clients, especially for renewable energy and environmental restoration services. For U.S. federal agencies, we're awarded major water focus contract vehicles such as the $105 million U.S. Watershed Assessment Contract with the U.S. Environmental Protection Agency. Our disaster planning and recovering practice also won a $54 million contract with Puerto Rico addressing the continued long-term resiliency planning needs for this hurricane prone region. Now, while those were an overview of our financials for the quarter and some of the growth areas, I'd now like to turn the presentation over to Steve Burdick, our Chief Financial Officer, to go over some of the details of our financials in the quarter. Steve?
Steve Burdick: Hey, thanks Dan. So as you just heard from Dan, we had an excellent quarter with results coming in better than anticipated. Those improvements also extend to our cash flows and our capital allocation related matters. So cash flows generated from operations for the second quarter totaled $108 million, up 13% over last year. Our focus on working capital and cash flows has also resulted in our DSO maintaining a leading industry standard of 59 days. This is a sustainable improvement from prior years, and the slower DSO trend continues to reflect the outstanding work that our project managers lead relative to higher quality projects and highly satisfied clients in our broad portfolio across all our end markets and geographies. And regarding our dividend program, we've paid out $0.23 per share in dividends in the second quarter, which is a 15% increase over last year. And I want to announce that our Board of Directors approved an increase in our quarterly dividend again to $0.26 per share to be paid in June. This is our 36th consecutive quarterly dividend and our ninth consecutive year of double-digit year-over-year increases in dividends paid. As Dan mentioned earlier, we did have this acquisition RPS and the recent closing of the RPS acquisition, which was just over 100 days ago, has been going quite well in regards to integrating Tetra Tech and RPS together. We've been making excellent progress towards improving profit margins and I would like to update you on our financial plan and current status for the integration of RPS, which is a significant opportunity for Tetra Tech. So when looking out over the next several quarters, our goal is to align the RPS margins to be at or above the Tetra Tech profit margins. And this will be accomplished in a similar manner as to what we had accomplished with our two previous public company acquisitions. And that is by focusing on high-end differentiated services and revenues while integrating the business onto our ERP platform and corporate systems for greater cost synergies. As such, we expect to increase the EBITDA margin for RPS from under 5% in their fiscal 2022 by almost 3x to a run rate of over 13% at the end of fiscal 2024. Now, while our operations are working together to focus on delivering high-end solutions in water and environment for our clients, we're also supporting those activities and we expect to realize additional cost synergies through both the transition of the RPS business under our ERP system, as well as potential office consolidations. These actions may result in additional one-time integration costs, primarily in the fourth quarter of fiscal 2023, but will provide increased long-term operating and financial benefits to the ongoing business. And so far today compared to our original projections, we are seeing improved margin opportunities based on our joint integration efforts with the RPS leadership team. And so through improved RPS profit margins and cash flows along with Tetra Tech's strong positive cash flows from operations, we expect to continue to delever our balance sheet. We ended the second quarter with a net debt leverage ratio of about 1.9x EBITDA, which is within our targeted range. We expect to further delever the balance sheet to a factor of about 1.5x by the end of this fiscal year. And so by increasing the EBITDA margins, while decreasing the interest expense on a lower debt, we would expect to be cash accretive after fiscal 2023, adding approximately $0.50 of EPS in fiscal 2024 and approximately $0.85 of EPS in fiscal 2025. And this will result in a double-digit EPS accretion in -- probably in about the mid to upper teens by fiscal 2025, which we anticipate -- which we had previously anticipated at the time of the acquisition. I'm pleased to share these quarterly financial results for the first half of our fiscal 2023. I want to thank you for your support and I will now hand the call over to Leslie, who will discuss our ESG sustainability program.
Leslie Shoemaker: Thank you, Steve. I would now like to provide you with an overview of our environmental social and governance program and recently released annual sustainability metrics. At Tetra Tech, we have set ambitious goals to reduce carbon emissions both through our operations and through the projects that we perform worldwide. We measure the global impact of our 27,000 staff and the projects they perform to our 1 billion people challenge. Our goal is to benefit the lives of over 1 billion people by 2030. Since the beginning of our impact evaluation in 2021, we have reached 545 million people and reduced greenhouse gas emissions by 101.2 million metric tons of carbon equivalents annually. For our global operations, we've also set goals to reduce greenhouse gas emissions as well as setting diversity, engagement, and community metrics. This year we reduced emissions by 25% per employee through innovation and flexible work policies, application of virtual technology and cloud-based data management. Our commitment to an engaged and diverse workforce has helped us to scale the highly technical work that we do across Tetra Tech, across our entire global operations. Tetra Tech is providing sustainability at scale by developing technologies that can be brought to clients worldwide such as our greenhouse gas calculator that is used by our high performance buildings practice to help cities, college campuses, and companies decarbonize their fixed assets. We're also performing large scale water management optimization for systems such as the Upper Egypt utility that provides over 1 billion gallons per day of essential water supply to the region. We also manage terabytes of coastal data in our cloud-based OceansMap platforms that facilitates the permitting and management of offshore wind facilities in the U.S., United Kingdom, Europe, and Australia. And through our work supporting the U.S. Agency for International Development, we are protecting the biodiversity of forests and aquatic ecosystems by creating supply chain tracking systems that create sustainable fisheries, forestry, and agricultural production. By Leading with Science, Tetra Tech leverages our expertise and technology to address our clients' needs at a global scale. And now, I'd like to turn the presentation over to Jill.
Jill Hudkins: Thank you, Leslie. The highly scalable solutions that we deliver through more than 100,000 projects for our clients each year result in annual revenues that demonstrate our market leading position in water and environment. I'm very excited to announce today that Tetra Tech has been ranked number one in water by Engineering News Record for the 20th year in a row. Tetra Tech is a leader in One Water strategies, providing intelligent planning, innovative design, and automation to develop, integrate, and manage reliable water supply sources for some of the largest U.S. water agencies. Tetra Tech has also ranked number one in water treatment and desalination by Engineering News Record. Tetra Tech designs innovative, high recovery, desalination facilities, primarily in water stress regions of Florida, Texas, and California. These states represent 30% of the entire population of the United States. These facilities diversify water supply portfolios and future proof water infrastructure for many years to come. Tetra Tech also has decades of market leadership in providing environmental solutions that are innovative for our clients and sustainable for our future. Tetra Tech has been ranked number one in environmental management by ENR for 14 years in a row. Tetra Tech is also ranked number one in Green Government Offices in our first year of reporting in this ENR category. Tetra Tech designed sustainable and healthy buildings utilizing proprietary, energy, and greenhouse gas modeling software. Some great examples of the work we do in government buildings include Tetra Tech is developing the city of Los Angeles building decarbonization plan to support a carbon neutral future across the city's 1,200 municipal buildings. Tetra Tech is also developing a system-wide decarbonization framework to reduce greenhouse gas emissions across all 23 campuses of the California State University System, the largest university system in the United States. Outside of the U.S., Tetra Tech is delivering the largest closed loop underground geothermal heating and cooling system in Australia. And in the United Kingdom, Tetra Tech is advancing an innovative heat decarbonization plan to support Zero Carbon Oxford for the Oxford City Council. The U.S. government has set ambitious net zero building emissions goals for 2050. U.S. government building decarbonization efforts have been further accelerated by incentives in the Infrastructure Investment and Jobs Act and the Inflation Reduction Act. These funding priorities are directly aligned with what we do at Tetra Tech in sustainable government buildings today. The U.S. government owns more than 300,000 civilian and defense buildings. One of the largest opportunities for Tetra Tech is the U.S. Army's commitment to spend $7 billion over the next four years on decarbonization. The army is the largest federal building owner with more than 138,000 buildings across 130 installations. Tetra Tech is leveraging proprietary greenhouse gas digital tools, and U.S. Army contract capacity to capture decarbonization programs that support the army's climate plan. Also, more than 20 states have set clean energy and net zero emissions goals for 2050. The Inflation Reduction Act provides $32 billion of grant funding to support state and local building decarbonization efforts. Tetra Tech is leveraging its standing contracts with more than 500 municipalities to advance their decarbonization efforts. And now, I'll turn the presentation back to Dan.
Dan Batrack: Thank you, Jill. I'd now like to present our guidance for the third quarter and for all of fiscal year 2023. The guidance for this third quarter and for the year for Tetra Tech, excluding RPS, and I'll provide those numbers in just a moment. But for the Tetra Tech excluding RPS for the third quarter, Tetra Tech's guidance range is from $750 million to $800 million of net revenue with an associated earnings per share of $1.15 to $1.20. For all of fiscal year 2023, Tetra Tech excluding RPS has increased its net revenue estimates or guidance to $3.1 billion to $3.2 billion with an also increased earnings per share guidance range of $5.07 to $5.17. Now for this Tetra Tech portion of our guidance range the following assumptions are included. It does include intangible amortization of $15 million, which equates to $0.21 per share. We do estimate a 26% effective tax rate. We assume 54 million diluted shares outstanding and does exclude any future acquisitions that we would do in the second half of this year. Now for RPS and these numbers are in addition to the Tetra Tech numbers I just provided or are listed in the presentation above. The numbers for RPS for the third quarter, we do estimate a range of net revenue contribution of $150 million to $175 million, and we expect that the earnings per share will be neutral, or there would be neither a contribution nor a detraction or a loss from RPS in the third quarter. And for the year, for fiscal year 2023, in total we anticipate RPS will add in addition to the Tetra Tech numbers listed above a range of $450 million to $500 million for fiscal year 2023 and also neutral and these numbers are consistent with numbers presented by Steve Burdick in the earlier slide for 2023. In summary, I'd like to share with you that we see strong demand for our differentiated Leading with Science's approach in water, environment, and sustainable infrastructure. In the second quarter, we set new records for revenue, net revenue, operating income, EBITDA, and earnings per share, and ended the quarter with an all-time high best ever visibility due to our backlog. The integration of RPS is exceeding our expectations, and it's adding new opportunities and clients to our business that we just never saw before. It's going exceptionally well and actually seeing it actually even looking better as we go-forward. And as a result of our strong year-to-date performance and our record high backlog, I'm really pleased to provide you the increased guidance for both net revenue and for the earnings per share that I just shared with you. And with that Camila, I'd like to open up the call for questions.
Operator: Thank you. The question-and-answer session will begin now. [Operator Instructions]. Thank you. And our first question comes from Sean Eastman with KeyBanc. Please proceed with your question.
Sean Eastman: Hello everyone thanks for taking my questions. I really appreciate the RPS accretion targets for fiscal 2024 and fiscal 2025. And I thought that, this would be a good time to perhaps supplement that view with your updated thoughts on kind of the underlying Tetra Tech earnings growth trajectory underneath that RPS accretion. Perhaps while addressing this trend where we're seeing kind of outperformance on growth relative to the end market targets seemingly in advance of the bigger funding tailwinds that, that haven't really hit the model yet.
Dan Batrack: Well, it's a good question, and I was really pleased to be able to present the underlying Tetra Tech actual performance in the second quarter. And as you can see from the presentation materials, all of our key metrics from top-line growth, which were in the middle to upper teens, 16% and 18% for revenue, net revenue, respectively. Actually I would say those numbers are understated. Because if you actually look at our net revenue growth adjusted for foreign exchange impact FX, the net revenue growth for Tetra Tech is actually 21%. It's in the 20%s. Every one of our end markets of the underlying Tetra Tech have exceeded our targets. We've had 5% to 10% target growth rates for our commercial and our international. We've had 10% to 15% for our state and local, which is well in there. And of course, we thought we'd be around 10% growth for our U.S. federal. And so we bracketed it with 7.5% to 12.5% to give us 1% or 2% up or down. And we've actually been in the 20%s, so we've doubled what we anticipated. And the one thing I would like to note this is without any material -- well, I'll say material because there has been a little bit, but without any material kicking in or contribution of these major individual funding items that we see coming forward, which is the Infrastructure Investment and Jobs Act, IIJA, it excludes the Inflation Reduction Act, which is a big renewable energy support programs and of course, the CHIPS Act, which will help infrastructure. So I think that things are looking quite well. It has been very fortunate that every one of our end markets are growing at levels higher than what we anticipated and that's without some of these very large macro trends of fundings that have been passed that we see still in our future. Now our backlog I would like to parse out the backlog because what we did this last quarter is great, but it's of course, what are you going to do for me next? Or what have you done for me lately? And of course, the best indicator of that is how are you doing on your backlog on the underlying Tetra Tech. And we saw book-to-bill in our backlog of 1.1, and we saw an increase in our backlog of Tetra Tech itself without the contribution of RPS of a 10% increase year-over-year. So I'm still saying we can do better than even those numbers. We're not hitting on all cylinders. There's still things that can go better such as the influx of funding and other programs from the federal government on these large trillion dollar earmarked program. But I'm feeling pretty good about the underlying business. And the great thing about RPS is they align very much synergistically with Tetra Tech and that we still are focused with RPS on sustainable infrastructure, renewable energy, large water programs in the United Kingdom, and of course, huge renewable energy and infrastructure programs in Australia. So all of the things that are going to and are currently propelling Tetra Tech forward are actually the same things that are going to drive RPS forward with us as we go-forward. So I don't know. We're feeling pretty good here. And of course, it's reflected in our increased guidance and the performance we had this last quarter, Sean.
Sean Eastman: Okay. That's very helpful relative to how we can think about the top-line momentum but maybe to press you a little bit more rounding it out with underlying margin expectations on the go-forward. And perhaps Steve could chime in on how the cash conversion trend should compare to this kind of well in excess of net income type of ratio we've seen over the last several years.
Dan Batrack: Yes, I'll touch very briefly and I'll let -- on the margin, I'll let Steve then speak to the cash conversion. We had forecasts coming into the year that we would have for the Commercial/International group, a margin range between 12.5% and 13.5%. That represents about a 50 basis point expansion in our margins in that Group from last year. And we do expect to achieve that or beat that. Our Government Services was actually a full of a 100 basis points or percentage higher. We thought it would be between 13.5% and 14.5%, which is also a 50 basis points increase over the prior year. We expect to achieve that for the year, and we actually see that trend continuing as we move into 2024 and beyond. So you see not only the top-line revenue growth, but if you look for roughly in those two segments about a 50 basis points increase, and that does not include the numbers that Steve had presented regarding margin expansion within the RPS portion of the company. So obviously when you have revenue growth and margin expansion, it becomes a multiplicative addition to our earnings and earnings per share. But let me have Steve speak to the cash conversion and our outlook on that front.
Steve Burdick: Yes, I think -- thanks, Dan. I think our cash conversion; we continue to expect our cash from operations to exceed net income going forward. And just to make that a little bit more clear, our free cash flow should be fairly close to our cash flow from operations as our CapEx continues to be and will continue to be less than a half percent of our revenue. So we'll continue to be relatively CapEx light and generating cash flows that exceed our net income over the near future.
Operator: Thank you. Our next question comes from Tate Sullivan with Maxim Group. Please proceed with your question.
Tate Sullivan: Hi, I thank you. Yes, a couple on RPS to start on Slide 9 indicating the targeted RPS EBITDA margin. It looks like between 13% and 14% in fiscal year 2025. Is that bringing RPS up to where Tetra Tech will be or should we look at Tetra Tech’s combined EBITDA margin is higher than RPS' EBITDA margin. How should we look at that number, please?
Dan Batrack: You know, Tate, that that puts the number very close to that at Tetra Tech, we believe by 2025, which in some respects, I say 2025 sounds like a long way in the future. However, Tetra Tech's fiscal year were less than six months out from going into 2024. That'll start on October 1. So we're only about six quarters out from being in fiscal year 2025. And our goal is that RPS will have closed the gap completely and be performing at a level at same as the rest of Tetra Tech. So I believe that Tetra Tech, and you look at the chart, it's just under 14% on our EBITDA margin. That would be the number that would be similar to the organization.
Tate Sullivan: Okay. All right. And in Ukraine, I mean, it was -- I mean, you mentioned $70 million of work within the quarter. Is that the largest, I imagine the largest intra quarter work that you have ever done for U.S. aid? And can you talk about what that was and -- sorry, weighing on questions, is that -- is additional work in Ukraine not included in guidance, please?
Dan Batrack: That's a good question. It certainly was the largest single short duration amount of work that we've done for U.S. aid ever. So I guess I could say in a -- within intra quarter. So we've had certainly other programs that have lasted longer and been larger over a longer period of time. But as far as just within one quarter, as far as a single amount of funding that has gone through the company, that is the largest. It particularly wasn't even just inter -- within the quarter, it actually was provided to us after our investor call last time, which is why it wasn't included in our guidance. And so it really happened in only two of the three months of the quarter. So it was really that much more accentuated. Now, the type of work it was really humanitarian support with respect to the energy sector. There have been through the winter months have been extreme hardships on a number of different areas regarding infrastructure and utilities. The area that we've been working in Ukraine for a number of years well before the actual current conflict was resiliency of the grid, upgrading the grid, reliable energy supplies, including transitioning to renewable. And because of some of the damage that has been taken place, we were asked to come in and provide emergency power supplies to the citizens in certain areas of the country. And so that's why it was short-lived and moved now, get the power back up and bring in temporary power supplies and support the country and the humanitarian relief. And that's what took place. Now, could there and would there be more? It's possible. But as of this phone call, we don't have any specific order or tasks that are been directed to move forward on. So we've not included any extraordinary additional activities in Ukraine or any other location on something that, that would be speculative on our part. So we're ready. We support our clients. We're completely behind them on any of the activities they'd like us to initiate. It had gone extremely well and was actually highly needed by the residents and citizens of Ukraine. So if there's other activities will be there in an instant, but it's not included in our guidance for our third quarter or the rest of the fiscal year.
Tate Sullivan: Great example of you can rapidly deploy in your contract capacity, I imagine too whatnot [ph]. Okay. Thank you, Dan.
Dan Batrack: Great. Thanks very much, Tate.
Operator: Thank you. Our next question comes from Andy Wittmann with Baird. Please proceed with your question.
Andy Wittmann: Great. Thanks for slotting me in here. I guess I mean it sounds abundantly clear, Dan that you feel pretty confident about how the business is performing. I thought I wanted -- would take the opportunity to zoom in a little bit on some of the pieces of your business that are a little bit more interest rate sensitive or maybe macro sensitive. I guess this so much of your business is publicly funded, but you've got this commercial business as well. Can you talk about how that commercial business splits up into pieces that might be interest rate or macro sensitive? Certainly, the high performance buildings practice comes to mind, but maybe there are others. Maybe if you could just talk about that in a little bit more detail because I think that's a topical question that seems to be coming across our desk quite often.
Dan Batrack: Yes, I think that's a great question. It's something that we look at the sake of a magnifying glass, but we're watching it very closely. Obviously interest rates caused huge disruption in some of the banking and other areas that are -- have been disrupted by it. So first of all, let's talk about the United States. Here in the U.S., it's about 20% of our total revenue. So let's we sort of parse it, so commercial work, our U.S. commercial 20%. What's a little bit unusual about our commercial work, and we've talked about this in the past, but I'll remind our shareholders and other stakeholders on the call this, about half of the commercial work that we do are for commercial clients responding to and supporting regulatory directives they have for environmental programs. These are areas where there's a record of decision regarding cleaning up legacy pollution or environmental impacted areas. This is actually performing remediation or long-term monitoring or innovative treatment. And so these areas are essentially I don't want to say completely immune, but pretty much removed from any cyclicality of interest rates, recessions, or anything else, these are moving forward. Now, somebody's asked, is there any possible way that they couldn't? Well, there is. You could go back and contest a regulatory directive, but what we've seen in some instances is once you have an agreed upon a regulatory order and a prescribed workflow and schedule, if you revisit it, you may get to do more work than you were planning on doing before. So quite often the -- the plan is ongoing forward with this. So that leaves the other half of the commercial work. About almost half of that then, or a good portion of that is actually not regulatory driven, but regulatory priority, which is renewable energy portfolio. This is for renewable energy, offshore wind, onshore wind, solar, other items, which is to meet renewable energy portfolio goals of the states here in the U.S. And of course, it's also become prevalent in the UK and Australia. So this type of commercial work, while it's not a regulatory driven or mandated, it certainly has a priority. Now that leaves what's discretionary that's mostly our high performance buildings work. I would agree with that. It's certainly sub 10%, so it's sort of between 5% and 10%. That work I've been expecting every quarter for the last year is going to be impacted because of incremental increased interest rates. It's continued to be strong. And where we've been pivoting is to two areas for our buildings. It hasn't been necessary that we've made traction yet, although we are getting traction. But one is the onshoring of high-end manufacturing, particularly chip fabrication plants. These are where there's very large dollars being committed to. There's huge grants and tax incentives here in the U.S., so we think that will be an offset to any softening in commercial buildings. And the other area is what Jill Hudkins presented on today's call, which is actually federal government buildings work, where we can take our high performance buildings experts that are doing decarbonization and move them to state and local and U.S. federal government programs that are really isolated from interest rate impacts. So we do have some -- I'm not going to say we have nothing that would be interest rate sensitive, but it's pretty limited in the areas that we do see some vulnerability. We have very clear plans that we're implementing right now to diversify that and move to areas that are not impacted or susceptible to pullbacks due to interest rates.
Andy Wittmann: That's a really helpful fulsome answer. So I appreciate that. I guess for my follow-up question, I wanted to ask a little bit more on RPS. I -- based on some of your numbers that you gave before, it sounds like RPS added about $375-ish million of backlog if you do the math on the 1.1x organic book-to-bill that you stated. So I guess I wanted to check that, but maybe more importantly, I also wanted to ask on you guys were kiting for $100 million of net revenue contribution to the quarter that you just reported and you came in at 1.44. So that's a big discrepancy. I thought it'd be useful for you to talk about kind of what the budget was and what the 1.44 number that you posted in the quarter means for what its pro forma organic growth would have been. And if that pro forma organic growth at RPS is a sustainable way of thinking about what they're up to and what their backlog supports as we head not only into the back end of this year, but even what can their organic growth be on kind of a normalized basis or looking into 2024? Thanks.
Dan Batrack: Great question, kind of multi-dimension there, but it's all along a common theme is how are they performing from what -- how you saw them before they joined you, how are they performing now that they've joined you and what you anticipated and what's it sort of look like going forward? So they came in, if you took a straight year-over-year estimate when they joined Tetra Tech in the second quarter, if you took it with just straight no growth, it probably would've been around 1.15, somewhere between 1.15 and 1.20. Look, we -- I really thought, and our team made a subjective decision here that coming and joining another firm, there is some disruption. When you move to a new house, you're a little bit slower getting around the kitchen. You're a little bit slower getting around to other areas. Just when you're joining Tetra Tech, I expected that there would be some amount of disruption, and we estimated that at give or take 10%. So we actually with $100 million it was below, it did expect that we would've seen some disruption of join -- part of joining us and we just thought that that's just natural and what we have seen in the past. The reality is we actually saw them go the other direction roughly 10% up the -- so they didn't burn their backlog. Your backlog number is pretty close to what they brought. So I'll reaffirm that number for you, which is one of the questions. So yes, that's about the right number. They did not deplete the backlog during the second quarter. In fact, they won enough work to keep the backlog in place and remain static. They do have a much lower backlog as a comparison of their annual revenue because their projects are typically a little bit smaller, a little bit more book and burn than Tetra Tech and that's primarily associated with Tetra Tech having much more big federal contracts that have larger amounts, longer durations. I actually, we've -- where we're modeling them internally is just because they had a 10% plus growth in the first quarter, we didn't actually plug that number and say we expect that or better going forward. We actually think the number will be somewhere around 5%, maybe between 5% and 7% of growth. And I don't -- we're a little cautious here. We don't think two months make a trend, but it certainly is a great indication and you did see that we increased not only flowing through the $44 million beat for the year, but we put another $50 million on top of that on what we had for the year from what we provided last quarter. So we do see it as continuing to be contributing and growing as they go-forward and I'll just say for any of the RPS folks that either listening to this now or will listen to it in the future, they've just been a great addition. I'll tell you the Tetra Tech technical people and back office people could not hold them in higher regard. There are equals and some areas are bringing new capabilities and expertise that we've never had before. And I'll tell you, they are a great addition to the company and I think they're going to make the entire organization substantially better technically with access to clients. And I'll tell you on Steve's books, both on cash return on invested capital and our margins are going to be beneficial to the entire company as we go-forward.
Operator: Thank you. Our next question is from Michael Dudas with Vertical Research. Please proceed with your question.
Michael Dudas: So Dan, you certainly appreciate and support the optimism of looking after the business over the next several quarters. As you look at your book-to-bill opportunities, I assume given what you're seeing that you can maintain a plus one level over the next few quarters, and as you look towards the government versus the CIG business is there areas that might be growing a little bit faster, a little bit more activity over the next two to three quarters, one versus the other, which might impact as we're thinking about margins and how may have an exit rate going towards 2024? Thank you.
Dan Batrack: Yes. Good question, Michael. I do see two different components of that. One, I see is the top-line growth and the second is the bottom line margin. Let me do it backwards. And I do see that the margins for CIG are going to continue to increase. GSG has been great. So they're 13.5% to 14.5%. I think the CIG is going to continue to see those margins increase. It's because we continue to shape our portfolio and go for higher end, higher demand services with our commercial clients. I do know that that Group is typically quite sensitive to recession. So I'll put I guess a footnote to that, that with recession duly noted, I do think our CIG margins are going to come up because of business mix and because of type of priority projects that we're performing for our clients that are time sensitive and actually will create a greater return for our clients like building chip fab plants, they need to get online. Time, I don't want to say is worth more than money, but time is a premium and the amount of people available to do that type of work is quite limited. A lot of the reoccurring revenue on subscription bases, a lot of it's on the commercial side that has very high value to our clients and actually creates huge value for them and that then means that the margins coming out of it for us are better. So is it better for us? Yes. But it's even better for our clients. So I do see on a margin basis, I expect our CIG to outpace in the growth of that or expansion of our margins to see a little bit more coming out of CIG. Now I'm not going to say GSG, I don't expect to come down. It's going to continue to expand, as I'd indicated about a 50 basis points. Now quickly transitioning to top-line growth. It's hard to -- it's -- they both have good drivers, but it's hard to match trillion dollar funding impending contributions from the U.S. federal government on many different fronts. No doubt there's been a lot of dysfunction in Washington, D.C. and the government, which has caused a slowdown. But a slowdown to a certain extent is like rising the level of a dam. The water or funding behind it just gets bigger. So when it comes, it's not going away. It's still coming out. It's just a matter of time. We -- I've seen nothing that actually says it's going to be reduced or eliminated. And in fact, the areas that we're working on, which is decarbonization, clean water, clean environment, do seem to be a very high bipartisan priority for both sides of the house here in the U.S. So I do think that it is possible and especially with short-term extraordinary contributions. And that would be for floods, disasters, hurricanes, fires after big rain events are really wet winters on the West Coast. Those drive big revenue numbers for us. And you've seen, we've not included those in our guidance, nor did it contribute here this last quarter. So could that actually come through and be a big plus up from what we've not -- what we're currently forecasting? Yes. Could the timing of some of these federal programs move forward? Yes. And commercial is going to do well with renewable energy, environmental mandated programs. But the size of some of these on the government side both state and local and federal are quite impressive. So I would say from our vantage point today Michael, I think federal has the potential just in sheer dollar size to represent top-line larger contributions.
Michael Dudas: Not a bad outlook for a dysfunctional unit. Thanks, Dan. I appreciate it.
Dan Batrack: Absolutely, Michael.
Operator: Thank you. This will conclude the Q&A session. I will now turn the conference back over to Dan Batrack to conclude.
Dan Batrack: Thank you very much, Camilla. And thank you all for attending and being on the call today. I'm really pleased on behalf of the entire Tetra Tech organization to had the opportunity to present along with Steve and Leslie and Jill both the results financially the huge progress we're making on ESG across the company and these great growth opportunities we have. I am very excited to come back to you next quarter and share with you the progress that we've made with RPS and supporting these other programs that I've outlined today. So I hope you have a great rest of the Thursday and great rest of the week, and I'll talk to you on our next Investors’ conference call. Thank you very much. Goodbye.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for participating and have a nice day. All parties may disconnect now.